Operator: Hello, everyone and thank you for joining the Super Group First Quarter 2025 Earnings Webcast and Conference Call. My name is Lucy and I will be coordinating your call today. [Operator Instructions] I will now hand over to your host Nkem Ojougboh, Head of Investor Relations to begin. Please go ahead.
Nkem Ojougboh: Good morning, everyone and thank you for joining us today to discuss Super Group’s results for the first quarter 2025. During this call, Super Group may make comments of a forward-looking nature that are subject to risks, uncertainties and other factors discussed further in its SEC filings that could cause its actual results to differ materially from historical results or from the company’s forecast. Super Group assumes no responsibility to update forward-looking statements other than as required by law. On today’s call, Super Group may refer to certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. Super Group has provided a reconciliation of the non-GAAP financial measures to the most comparable GAAP figures in the press release issued yesterday and available on the Investor Relations page of the Super Group’s website. In addition, Super Group has reported its financial results and metrics in two parts, highlighting Super Group’s profitable and cash-generative global business separately from its investments into the U.S. This aligns with the annual guidance that Super Group has provided for 2025. Going forward, Super Group will report on combined results. Super Group recommends that investors refer to its supplementary presentation posted to the website. Today, I am joined by Neal Menashe, Chief Executive Officer and Alinda Van Wyk, Chief Financial Officer. After our prepared remarks, we will open the call for questions. And now I’d like to turn the call over to Neal.
Neal Menashe: Thank you, Ink. Good morning, everyone and welcome to Super Group’s first quarter 2025 earnings call. We kicked off 2025 with a powerful quarter, delivering impressive growth in revenue and customer numbers. We remain strategically focused on making smart adjustments to our global operations, cultivating our growth areas, enhancing our technology and product offerings and spending wisely on operations and marketing, all while continuing to deliver meaningful shareholder returns. Before we dig into our numbers, we have four important announcements. First, please join me in expressing our deepest thanks and gratitude to Richard Hasson, former President and CCO, for everything that he has done for Super Group over the last 13 years. It has been a super journey. We wish him every success in his next chapter. Second, from today going forward, we will be reporting our financial results in U.S. dollars to enhance comparability with our U.S. listed peers and provide more relevant information to investors. Third, also from today going forward, our results presentation will be inclusive of our U.S. business, unless stated. Finally, we are excited to reintroduce Super Group to you at our upcoming Investor Day on Thursday, September 18, 2025 in London. And we are eager to present our new office hub. This event will reflect the significant transformation that we have made since Super Group listed over 3 years ago. Turning now to our numbers, we comfortably beat our internal ex-U.S. and U.S. expectations for both total revenue and adjusted EBITDA for quarter one 2025. The combined group delivered an all-time high first quarter total revenue of $517 million, growing 25% year-over-year. Total combined group adjusted EBITDA, also a first quarter record, increased by 120% year-over-year to $111 million, with a combined margin of approximately 22%. We delivered all of this without compromising our strategy of reinvesting for growth, with a marketing ratio of 26% of net revenue. Growth was fueled by exceptional wages for both sports betting, up 7% year-over-year and casino, up 23% year-over-year. Total revenue ex the U.S. was the highest first quarter ever, growing 24% year-over-year to $502 million. Adjusted EBITDA ex the U.S. grew 62% to $121 million, with a margin of 24%. Analyzing the ex-U.S. numbers, key drivers were as follows. African grew 54% year-over-year, driven by steady development in South Africa, Ghana, Malawi and the recent launch of Botswana. Botswana is off to the races as one of the most successful launches we have ever seen. While Nigeria is receiving strategic attention that we believe will be fruitful. In Africa, casino and sports were up 31% and 38% year-over-year, respectively, thanks to continued growth in our customer base and the strength of our market-leading global brand. The end result is that we continue to occupy podium positions in multiple markets across the continent. Europe was up 53% year-over-year, the UK continues to be a bright spot, with revenue up 87%, thanks to strong growth from Jackpot City and Betway, together with improved marketing and product experience. Spain is up 20% over the same period due to growth in casinos, as well as the relaxation of the Royal Decree around sponsorship and marketing. Overall, Canada grew 13% year-over-year, Ontario grew 2%, while the rest of Canada grew 16% over the same period. Our performance highlights the continued strength of our brands across Canada, where profitability remains very good. We maintain tight control of overhead and are holding marketing spend stable as a percentage of revenue. In Alberta, we are preparing for potential launch of local regulations in 2026. Lastly, APAC was significantly affected by currency weakness and the closure of non-performing markets, ending down 13% year-over-year. Our largest market in APAC is New Zealand, which was in line with last year in constant currency, but down 7% year-over-year in dollar terms. Growth in New Zealand is constrained by regulatory limits on marketing, but we believe that we have plans in place to address this in order to return New Zealand to growth. At the EBITDA level, this quarter clearly shows how the operating leverage inherent within our business fuels scalable and profitable growth. As our established markets reach scale, a substantial portion of every incremental dollar of revenue converts to super profits at our bottom line. By aggressively reinvesting on our existing footprints and maintaining a disciplined cost structure, we are driving sustainable margin expansion and we expect this trend to continue. In the U.S., our iGaming business is progressing according to plan. First quarter 2025 picked up from fourth quarter 2024, with EBITDA improving to a $10 million loss in quarter one 2025 from an $11 million loss in quarter four 2024. In March 2025, we introduced Spin Palace Casino in New Jersey and Pennsylvania, replacing our sports-focused brand Betway. We are monitoring what a proposed tax hike in New Jersey could mean for profitability, but we are currently satisfied with the progress of the U.S. business. We are meeting our KPI goals and remain on track for expected breakeven in 2027. We are really pleased with the new records we set this quarter, including a new high for unique monthly active customers, which averaged $5.4 million for the quarter and a new record for total sports wagering, ex-India, which reached $899 million for the quarter, up 7% year-over-year, even while gross margin in the sportsbook improved from 11.1% in quarter one 2024 to 13.8% in quarter one 2025. Our balance sheet remains stellar as we finish this quarter, with unrestricted cash of $351 million and no debt. In February, you’ll recall that we increased our minimum quarterly dividend target to $0.04 per share, which resulted in $20 million being declared and paid to our shareholders at the end of March 2025. In the last 12 months, we have returned $146 million to our shareholders. This highlights our very strong free cash flow profile. Turning to guidance, on February 21, 2025, we guided to fiscal year group revenue of greater than €1.915 billion and group adjusted EBITDA of greater than €400 million. In dollar terms, converted at the average rate for the first quarter of 2025 of 1.052, that’s equivalent to a combined total revenue of greater than $2 billion and adjusted EBITDA of greater than $421 million. So today, we are maintaining our guidance. Super Group does not update guidance on a quarterly basis, but we do continuously assess performance as the year progresses. Though not factored into our guidance, we continue to see opportunities and potential for further growth in markets, both inside and outside of our current footprint. In closing, April was another super month across the Board in Africa, Canada, Europe, APAC, and the U.S. The second quarter is therefore off to a great start. We are growing consistently with an opportunity and the technology to support, retain and attract customers around the world. We are excited about the year ahead. I will now turn the call over to the operator to open the call up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Jed Kelly of Oppenheimer. Jed, your line is now open. Please go ahead.
Jed Kelly: Hey, great. Thanks for taking my question. Nice job on the quarter. Just looking at sports and looking at the presentation, it looks like your handle ex the U.S. was up 14%. So can you just expound on what’s working there? And then just circling back to the U.S. seeing a lot of good revenue growth, you are seeing some of the products with land-based presidents start to increase their share as well in states like New Jersey. Can you just talk about how you are thinking about the U.S. competitively given that you’re competing with some more well-known brands and products with a land-based partnership? Thanks.
Neal Menashe: Okay, so hi. So simply sports is obviously, sports is all about the product as well. So we’ve had huge product development across the world. And as we deploy this in, we get more engagement with our customers. And of course, we’ve got this huge marketing budget that as we make that more effective you get more people into the funnel. So I think that’s all a process of keeping the customers engaged. And then of course as you know, 80% of our business is actually casino, right, even from the sports customers mixed up with the Betway ones with the Spin. So we are seeing good traction there. When it comes to the U.S., again, our stuff is we only do casino and we compete with land-based casinos all over the world. And what we are doing, we are enhancing the product offering there. As you know, we launched with Spin Palace Casino, which took over from Betway. So now we’ve got Jackpot City and Spin Palace Casino in New Jersey and Pennsylvania. And we’ve got more enhancements coming and we’ve got good marketing. And then what we have to do is remember for us to breakeven is a much lesser amount as time goes on. So we are getting closer to what we believe is our net revenue that our operating leverage can then kick in after that. But it’s all about the product, it’s all about the marketing, it’s all about the efficiencies. And that’s what we are all about.
Jed Kelly: Okay, great. And then just my follow-up, just on Alberta potentially going legal at the beginning of next year, can you sort of talk about how you are going to approach that market and some of the strategies you might have learned from the Ontario launch? Thanks.
Neal Menashe: Yes. So Alberta, according to us, it might only be the latter half of 2026, just based on where the regulation is currently, but we learned how we migrate our customer databases from Ontario, and we’ve learned what maybe we didn’t do correctly then and we will never make the same mistake twice. And that’s how we’ve always done so. So we wait for it. The product is being built, ready. We wait for all the regs and we know exactly what we need to do then.
Jed Kelly: Thank you and good quarter.
Neal Menashe: Thanks.
Operator: The next question comes from Jason Tilchen of Canaccord Genuity. Jason, your line is now open. Please go ahead.
Jason Tilchen: Thanks. Good morning and thanks for taking the question. Africa has been a really key growth driver for the company over the past year or two. I am just wondering if you could talk a little bit high level first, how much growth you still think is in the existing markets that you’ve been operating in for some time versus sort of growth is going to come from some of the newer markets that you’re planning on entering going forward? And if you could talk a little bit specifically around the competitive landscape in Nigeria, how that’s different from other markets? And you talked about strategic attention being put there, what sort of that entails going forward? Thanks.
Neal Menashe: So, I think obviously Africa has been a great continent for us, but remember it’s made up of lots of countries. Every country we are in, it’s all about the product, the offering, the banking, the marketing. And as we keep on tweaking all of those is we are seeing good uplift. And remember, we’ve also launched our Jackpot City Casino in some of the markets. We haven’t even gone into all of them yet. So, for us, it’s understanding that Botswana is a new market and we go in there, the product is really good and it really got off to a flying start. And listen, there are lots of other markets in our pipeline, but we have to make sure the taxes are right, the banking is right, in order for it to be operationally profitable for us. But we see huge potential. The continent is massive. It’s a growing population of customers turning 18 and 21 every year the few percentage of new customers coming on board and our brands are resonating there with all our global marketing spend and in the local line. Nigeria is a bit more complicated. I think for us there is the product is not up to scratch. We have to fix some of them, make it more localized, which we are on. We’ve seen unbelievable traction in South Africa, Ghana, Tanzania, etcetera, with localizing the product, but again, there is always these tweaks. And so for us, it’s just the beginning as these product offerings come, as we can develop them and deploy them in the markets one by one. So we’ve got a big pipeline of new countries to come, but we’re only going to bring them on as we know that all the metrics make sense in that market for us.
Jason Tilchen: Okay, very helpful. And I guess a quick follow-up there. You mentioned Jackpot City in the context of Africa, you have also been – seen really strong performance in New Jersey relative to the Betway brand since you launched there. I’m just wondering if you could share a little bit more about what differentiates Jackpot City and why you’ve seen such strong results with that brand and how that’s resonating?
Neal Menashe: Okay. So remember our thesis has always been a customer who bets on Betway and then goes – sports and then plays casino is a different customer to someone who is only looking for a pure-play casino. Pure play casino, we’ve got a lot of them, but Jackpot City is the biggest one. I think the brand, everything to do with it resonates, it’s been in Canada a long time, so we bought all over. We bought it to the UK. So we are seeing great traction again, that’s the branding of the worldwide branding also helping. So that is a totally different customer base and then we will open new ones as we’ve got Spin Palace Casino, other ones, etcetera. So that’s always been our strategy. I have to remind people that’s where we started this business, started with Jackpot City, Spin Palace, etcetera and we are now just bringing that to more countries.
Jason Tilchen: Great. Thank you very much.
Operator: The next question comes from Clark Lampen of BTIG. Clark, your line is now open. Please go ahead.
Clark Lampen: Thanks very much. I have got a couple here. I will start on Africa. Neal, I wanted to see if you could help us frame performance sort of between your countries. Very impressive, 54% growth, was performance disproportionately levered to one specific territory? And then as we are thinking about expansion in Africa over the balance of the year, I am curious, I guess you talked about banking payment processing products. Are the sort of basic ingredients for success across markets and with new markets in particular sort of consistent such that, you are hitting the ground running and ramping in new territories faster than you did in the past and will do so again in the future, or is each territory so distinct and different that we shouldn’t necessarily draw a line between Botswana performance and maybe what you might be able to achieve with the next launch?
Neal Menashe: Okay. So, firstly, we don’t break it down by country, but our podium positions, as you can see on our presentation, South Africa, Ghana, etcetera. We are seeing good growth in all of those. All of our markets, actually even including Nigeria, are all profitable, right. So, what’s happening really is that extra revenue is really flying down to the bottom line. So, what we have to keep doing is keep enhancing the product, keep getting all the new features. We have got brilliant features that we roll out, but the tech stack there allows us, if we roll out a feature in, let’s say, South Africa or Ghana, we can roll it out in Tanzania, etcetera. So, that’s helping a lot. When it comes to the banking and the regs, each, obviously, country is different. Obviously, we have big and I think we have 150 different integrations of banking products across the whole of Africa. And we are quick to market on the new ones that come out. And also, I think the banks and the telcos and everyone want to work with us because the brand is so big and it resonates, because remember the strategy here. The strategy has been is that and soccer is the number one sport, and then you have got, obviously, basketball. But we are all over the English Premier League and the Spanish league. So, they have seen the brand all the time. Then we do the individual marketing on the TVs on, on Google where we can do it. and etcetera, but that is just resonating. And then the customer service, how quickly we pay out the customers, the integrations into the banking systems for fast payments. This is what it’s all about. And it’s navigating the regs, right. So, I think we have really got, and I always tell people we have got one team that looks after Africa. So, we have broken the world. We have divided and conquered the world, and this is why we are able to do this. So, we have got a team doing Africa, the team doing the rest of Betway Global, as we call it, the team doing Spin, and Spin’s broken down with the various brands. So, this is allowing us to get access quickly into these markets and keep enhancing.
Alinda Van Wyk: And just to add to Neal’s point. Sorry, go on. Clark, I just want to also reference Africa is 13 out of the 20 fastest growing economies in the world at the moment. And the scale also with what the population is growing. So, it just gives us that scale for expansion as well. And with processing and the regulation, it’s also a much more friendlier regulation than, for example, the USA. And we have been, for the last 15 years, been dealing with every country’s regulation side-by-side. And that’s been helping a lot with expansion.
Clark Lampen: Thank you. That’s helpful. If I may ask as a follow-up a question on the U.S. iGaming push, I am curious if you guys could share a little more detail around the experience in New Jersey and PA so far, and whether you might be open to either launching additional brands in those same states as a means of accentuating the current push, or more if we were to see some expansion, would you prefer to build the presence in additional sort of legal markets in the U.S. Thank you.
Neal Menashe: Okay. So, what we are seeing there is I think it’s $15 million for the quarter, so that’s $5 million a month. We are getting there. The breakeven, obviously, in those two states is higher net gaming revenue need than compared to other ones because you have got the partner fees along the way with the land base and some other costs. So, we are not far off getting to the revenue that we need to be breaking even. So, we are seeing good traction. What we have to do is we still got marketing to spend there. We can buy other things along the way, bolt on acquisitions to help us grow that revenue. So, for us, I think it’s a much better place to be just for iGaming. Sports, we just couldn’t make it work. The one that probably did get away from us is Michigan. The only issue we have got in Michigan is that it was really expensive to get a license originally, right. So, unless that price comes down, for us the entry cost was too high. So, there is lots we can do. Yes, we could launch one or two more casino brands, but let’s see how these two – I think two at the moment is good enough.
Clark Lampen: Appreciate the color. Thank you.
Operator: The next question comes from Bernie McTernan of Needham. Bernie, your line is now open. Please go ahead.
Bernie McTernan: Great. Thanks for taking the question. I wanted to ask a follow-up on Africa. And as I look at, Slide 8, which shows your net revenue by geography and how Africa has grown from 37% last – first quarter to 39% this one. How large do you think it can get considering the strong growth, growing 54%, how large do you think you can get in terms of your – the total mix of the global pie? And then I have a follow-up.
Neal Menashe: Yes. It’s all about the terms and stuff, but remember the secret for Africa is that every bit of extra revenue is super, super, super profitable. So, actually, if we grow revenue by 30% or 40%, you could almost double your profits there, right. This is the beautiful part of it. So, what we have to do is maintain where we are and grow and open the new markets. So, for us, it’s about – again, it’s not only about the revenue, it’s the profitable revenue. And this is what we have learned. One thing I think we did wrong in the past, which we turned around, is we were in too many countries. We were in so many countries. And then your whole tech stack is you can’t deliver per market. So, I think we have learned that lesson. We know what we are doing. And plus, you can see with our guidance, etcetera, is these markets are growing and will continue to grow. And we have got the marketing budget, and that’s very important in all my numbers. Remember, we spend 26% of our net gaming revenue on marketing. Just so some of our competitors are at 15%, at 18%. I can remind everyone that if we were less at 20%, we would have brought another 50 million to the bottom line for this quarter. But we are knowing, we are getting the return, and that’s the secret. So, we have got, what I would say, petrol in the tank to be able to compete. We have got $450 million a year. The question is, where are we spending it and how are we spending it and in which countries, and that’s what Alinda and I have to work with all the CEOs of our various businesses every month, understanding, are we giving them enough and are they returning.
Bernie McTernan: Understood. And Neal, just to double check there, so the incremental margins in Africa are higher than your global averages?
Neal Menashe: Yes, absolutely.
Bernie McTernan: Okay. And then just wanted to ask about, puts and takes on the guidance for the rest of the year. And just, is there anything we – whether it’s for no-comps or anything else we need to be thinking about from a comparability perspective, just given the really strong one here, we call it in the guidance unchanged for the year. Thanks.
Alinda Van Wyk: Yes. Around the guidance, remember, we don’t monitor guidance on a quarterly basis. We assess the year as it goes on, and we will give an update after quarter two on guidance.
Neal Menashe: But I think if you take the seasonality, we said compared to prior year – if you just take the seasonality compared to prior years, you can see it, how it is. For example, if you are going to quarter two now, is that football or soccer being our number one sport, all the leagues are finishing now in May, which means June and July your marketing budgets are less.
Bernie McTernan: Yes. Got it. Thank you.
Operator: The final question comes from Mike Hickey of The Benchmark Company. Mike, your line is now open. Please go ahead.
Mike Hickey: Awesome. Thanks. Neal, Alinda, congratulations on a great quarter. Thanks for taking our questions. Let me know if you can’t hear me. I will switch off these ear-buds. They don’t work.
Neal Menashe: You are all good.
Mike Hickey: Okay. Thanks Neal. Obviously, you have got – as you highlighted, great podium positions in key African markets, Neal. Can you sort of quantify your market share and your biggest markets like South Africa? Just trying to figure out how concentrated the revenue is within those top markets for you.
Neal Menashe: I mean they don’t publish really, I mean you can get some reports, but like, I mean South Africa and Ghana, I mean South Africa, maybe 30, 40% of the market share, whatever the numbers are. But it’s hard to quantify them because they don’t report like the UK or like Ontario, and stuff like that. But then the corollary of that is like in the UK, we are still small. Even though we have got good revenue coming there, there is so much growth there. That’s why you are seeing the growth. As we fix the marketing efficiencies and the products, you must understand, as we drop these little items in each of these markets, we are seeing incremental revenue increase, and that’s what we are fighting about. And that’s really how, by cutting off markets like Portugal, Belgium, France, etcetera, we have freed up the pipeline to deliver on the market where we need to be delivering on. And I think that’s where we are seeing huge upside. And it’s a profitable upside.
Mike Hickey: That’s why they have, Neal. I guess obviously, you are a global business in Africa, how competitive relative to the other markets is Africa in terms of promotional intensity and the pricing perspective? And you are sort of highlighting here, I think for everyone else how incredible Africa is for an online gaming market. Would you expect more entrants competitively coming into the region this year or next year?
Neal Menashe: Listen, I think there is always new entrants coming in all the markets we operate in. But again, in the markets where we have got podium positions, you probably have to think of us like what FanDuel and DraftKings are off to the U.S. right, especially from the sports side of things, right. And it’s bringing the customers and it’s all about the brand resonance and you have got this customer base that you are building on. So, every month, every time it’s the end of the month and it’s payday, etcetera, you are seeing big volumes coming into the system. And we have got the same in Canada, in our positions there, etcetera. So, it’s working all of those to effectively enhance our business. So, yes, there is always competition. How do you solve competition, really simple, we become super efficient. That we are on – it’s not about driving down costs. It’s becoming efficient with the costs that you are utilizing, whether it’s in CRM, whether it’s in risk management, whether it’s in processing fees. And then the big one is how do you become efficient on your funnel of marketing. If you are open to actors or converting at a certain percentage in each market, how do you make that better, what new products can we do, how do we scale. For example, now, if we have to double the business, we don’t have to hire double the amount of people. That’s the key and its understanding all these metrics. And remember, for 25 years, we have built these businesses on return on marketing. Now, we are into the best, having the best people in the right seat to deliver us in those markets. And if they don’t deliver us in the markets, we have to find the people who will deliver. And that’s, I think been a fundamental change.
Mike Hickey: Yes. How do the taxes change end markets, and how do you see the long-term stability of those?
Alinda Van Wyk: Yes. The tax is, as we stated, Africa is a very regulated business, and it’s always been. We work very closely with the tax authorities to make sure that they understand the industry and that there is fair tax for both – from the revenue side and the operator side. It’s very consistent. We have seen once or twice a tax has been increased, but it’s always been done within reason for the industry. And I think that’s been the success. The regulator talks to the revenue authorities and to the operators. And every country is a taxpaying country. And I think every country is happy to have gaming operators for income into their permits.
Neal Menashe: Yes. Listen, our big thing across the world is actually the taxes, not really the one, it’s the black market. It’s does the regulators where we pay our taxes regulate the black market. I mean, the prime example I keep giving is that they think they are collecting great money in Germany, but they are not, because all our revenues are down, because they allow the black operators to have no tax and have no deposit limits. So, that’s far worse. You have got to regulate both sides of the coin. And that’s what we have been working with all the markets we are in now with and where they have got the BGC in the UK. We are even establishing some of those kind of things in other markets because the industry has to – you have to explain to the governments what they are doing, right. And how the black market is actually a far bigger risk than anything else because then the customers have got zero protection.
Mike Hickey: Last question from us, but I just want to clarify, do you expect – one, I guess how impactful was Botswana for the quarter, and would you expect sort of number one or sort of top market share in this market after it sort of shakes out here after a couple of quarters? And then I am curious if you expect any other new markets to open here for you in the medium-term within Africa. Thanks guys.
Neal Menashe: So, Botswana was only launched in February. So, listen, it’s a small country. It’s right next to South Africa. So, I think the brand awareness there has been really good and I think the product is really good. So, it’s been early days in terms of affecting the quarter, right. But I think it’s off to a great start, and that’s what we need to see. We have got a few other markets, etcetera. We are looking at Ethiopia, Ivory Coast, Angola, etcetera. We have got a lot in the pipeline, but we have just got to make sure that we can first of all deliver all of them correctly, and most importantly, that the taxes and the repatriation of the money out of those countries works for us. So, we are always on this. We have got other countries we are looking at as well. But we have just got to make sure that it makes profitable sense to do it. So, we have still got lots of pipeline there. And we are not even in most of those countries in North Africa, etcetera, or the West Coast, etcetera there. So, there is a lot of opportunity everywhere. And there is a lot of opportunity in Canada, Alberta, all of them coming, right. So, they are really at Spain. New Zealand is another interesting one for us. Remember, in New Zealand, just to end off, they are looking at regulating. So, we are and we have pulled back on some of the marketing that the regulator there says you shouldn’t do on TV. And so that has had a bit of an impact, but we have done it carefully because we want to secure a license there going forward. And that’s, then again, it should be another market that then is good for expansion as well.
Mike Hickey: I mean Neal, when you look at new markets, you have got a great balance sheet here, do you still think of sort of taking an organic approach to new market entry, or do you think you are in a better position today given your success and your balance sheet and your cash flow to maybe do some M&A, maybe something transformative?
Neal Menashe: We agree. I said that for even New Jersey, Pennsylvania. We have the cash flow. We can buy anyone we want. It must be the right price and the right fit, and we are all over this. We always are continually looking at stuff, etcetera. So, we fully agree. But it’s got to be the right fit, and it’s got to make sense for the business. But, yes, we can definitely buy some operators all over the globe.
Mike Hickey: Just as a follow-up, Neal, I mean would you look to do something M&A within the U.S., or do you still sort of want to grind out on your current path…?
Neal Menashe: Well, we will see what’s out there. We are always looking at the process to be right both ways. But I also think now, I think our performance shows, we are on it, that this is a formidable company, and we have got the cash. We have got no debt. We can get debt facilities if we want. We have got everything available to us. We are working all of those [ph]. I think one of the big things was this quarter was going in U.S. dollars. It just makes it easier, and you can see it. And we have got a big marketing budget. So, we have got everything. It’s just how we deploy this. And we are working every day to deploy this in the most cost-effective and profitable way.
Mike Hickey: Thank you, Neal. Perfect. Appreciate you guys.
Neal Menashe: Thanks.
Operator: We have no further questions, so I will hand back to Neal Menashe, CEO, for closing remarks.
Neal Menashe: Okay. So, thanks everyone. Thanks for joining. We will talk to you in August when we release our second quarter results and we are really looking forward to meeting all of you on September 18th in London. Thank you. See you soon.
Operator: This concludes today’s call. Thank you for joining. You may now disconnect your lines.